Operator: Good day and welcome to the Agnico Eagle Mines Limited’s Second Quarter 2015 Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Sean Boyd. Please go ahead, Mr. Boyd.
Sean Boyd: Thank you, operator, and good morning everyone and thank you for joining us for our second quarter 2015 conference call. What we proposed to do today, we posted a deck of slide but I don’t proposed to go through them one by one but I just want to caution everybody that there are forward looking statements both in the slides and in the presentation so please be forewarned and read the cautionary statements. But what we wanted to do today is give you an overview on a sense of how we are thinking about our business; where the focus is; what we are going emphasize going forward; where the opportunities are for us to improve the quality of the business. I'd like to start with the first through the second quarter and the first half and just talk a little bit about the operation we continue to get strong production, we continue to get strong cost performance, we had in line productions slightly lower a unit cost than expected with cash cost number around $600 announced. We are seeing very good results at number of our operations and we are doing this and also posting record safety performance which is I think very important because a safe operation generally means we got a very productive operation. But on the cost side we see major improvements on several of the regional operating platforms in Mexico. We continue to see record production. We see cash cost slightly below $400 an ounce that’s about a $100 an ounce improvement from the prior year. In the Abitibi our four mines there had an average cash cost in the second quarter of $622 an ounce that’s also down by about a $100 an ounce from a year earlier. In Kittila, the expanded throughput rate helps to drive the cash cost, unit basis is lower also down from a year earlier period by about a $100 an ounce. So, all of that’s good cash performances has resulted in hovering a full year cost guidance also the in line production and the good cash cost performance has allowed us the second quarter this year to generated net free cash flow. We had operating cash flow after working capital changes of 188 million. We reinvested in our project a $111 million so we generated net free cash flow in the quarter of $77 million. In the second half we expect to have continued good cost performance in cash generating performance. We expect steady production. We expect to meet our full year production guidance of approximately 1.6 million an ounces. We're working on several things maybe we can do slightly better than that and we expect to meet our improved cost guidance. As we go forward the emphasis will be on looking to add value at each of the operation by advancing several of our key near-term production initiatives that we have internally at these projects but following back a little bit before I go into the little bit of detail as we move forward our strategy is really based on three underlying principals and drivers. One is to execute on the existing plans that takes advantage of the opportunities that we see at our existing operations to not only grow the business but to improve the quality of the business and we saw a couple of those with the approvals of go ahead on Goldex and developing additional satellite zone and also with extending the mine life at Meadowbank. The second big part of our strategy is ensuring that we maintain a high quality pipeline of developing project and we do both through exploration success and also through selective M&A more focused on sort of earlier stage opportunities. And number three is really develop the next generation of senior manager and leaders. I think is particularly important and we spent a lot of time initially our board meeting. This is particularly important certainly now given the increasing complexity of the gold business and the challenges that the industry faces in the lower gold price environment. So despite the current volatility in the gold price in our view we need to sort to have a balanced approach where we need to continue to make the appropriate investment in both our assets and our people. So in the first half of 2015 we've made very good progress on all three of these fronts. We have managed to increase our investment in exploration and we’ve seen very good value increased creation particularly in Nunavut, with that exploration we've got some other things that are really coming to the forefront of exploration, we'll talk about in a minute. And we've also move several of our key development projects forward at the same time as we're lowering our operating cost and we're improving our financial position by reducing our net debt in the first half of the year by 159 million to approximately $1 billion. So on the back of the stronger financial position we have approved an increase in capital spending in 2015 of approximately $58 million and an increase in our exploration spending of $20 million. Now just going through the component of each of those on the CapEx side in the 58 million we 9 million to develop the gold zone at Goldex. So I'll talk about that in a minute but that makes very good chance in this market because not only are we extending the life, we’re also opening up additional opportunities at that and in the region for the Akasaba West project. At Meliadine we've increased the spend there by 22 million and that’s essentially to utilize the remaining work season to continue to position both the sight and the economic analysis for decisions that we’ll make on the bigger picture in Nunavut in the first half of next year. We decided to invest 27 million of Meadowbank essentially to develop the Vault Pit extension which now makes good sense at Canadian dollar gold price here at these levels. But also makes good sense in the overall strategic focus of Nunavut where we're extending the mine life at Meadowbank by a year which has important implications for how we think about Amaruq as a satellite deposit for Meadowbank. Of the $20 million in increased explorations spend, 15 million of that is at Amaruq to fund potentially the phase two programs and that’s basically been a results driven program and allocation of capital since the start of that program. And we've allocated increasing spending on exploration as that deposit has continued to grow and we'll talk a little bit about that in a minute. At the operational level that we said, our mine’s performing extremely well. In Quebec at Mellon we have exceeded our development targets by about 15%. So we're getting good development performance in the lower mine, we'll be commissioning the new coarse oar conveyor system this quarter. Our production was up in the quarter with cash cost down by almost $100 an ounce and as we open up the lower mine and improve our flexibility to move around in the lower mine we see our goal production increasing and eventually anticipating it exceeding 350,000 ounces per year by 2019 and that’s up from a level of around 200,000 ounces last year. So we still see significant growth coming from the LaRonde assets. At Canadian Malartic we've got steady production, mine cost per ton is expected, our cash cost very attractive levels at 609 per ounce in the quarter. We still have several optimization initiative and work ongoing one to minimize the length of our normal planned maintenance shut down. We’re focused on improving the efficiency and cost around the management of our waste rock, which is a significant expense. And we're also focused on the mining rate in the North wall where we have very good grades and we've got back to about 2 million tons a month. So we're looking at ways that we can maintain that or slightly improved that. As far as the future of Malartic we are doing well in the permitting side, on the Barnat extension we're on track with that permit and also in the future we are starting our drilling program at Odyssey. We continue to get some interesting result there at depth and that was one of the things that attracted both Agnico and Yamanas [ph] to that property given the higher grade potential and the significant thickness of mineralization's with maybe appropriate to apply the Goldex type low cost mining methods to it. At Goldex that philosophy of incremental to the phase approach to the Goldex restart has worked extremely well as can be seen in the operating results at Goldex, good steady production, very good cost per ton performance, very good cost per ounce performance, generating net free cash flow. And so to continue to take advantage of the infrastructure and the low cost miming method at Goldex we made a decision to develop additional ore zones on the property which extend the mine life out to 2024 at essentially steady production rates. But this as we said earlier opens up additional upside to both the production rates and the mine life from the deep 2 zone which we have drilled and we've got a resource in the lower part of that mine which isn't part of the current plan. We've got a higher grade south zone which also -- maybe able to brought into the mine plan and we got the Akasaba West deposit that we're still working on our analysis and on the permitting which will give us we feel additional incremental low cost ounces using the extra capacity that's available at the Goldex plant. At Lapa unfortunately it’s a short mine life, it’s expected to finish before the end of next year. We are however continuing on a very focused exploration program so it's on the Lapa site into the property adjoining Lapa to the left, so we're hopeful but at this point we still need to continue that drilling program, but I think I'd like to take the opportunity now to thank the employees at Lapa for continuing to deliver on their targets, despite the prospect of mine closure next year. So that's not an easy thing to do for people that have experience in the mining business and that team over the last several years has sort of put the interests of the company first and done an exceptional job of maximizing net free cash flow at Lapa. In Nunavut we continue to focus on moving several of the pieces forward so that we're in a position in the first part of next year to decide how we move that large Nunavut platform forward. But I think what we see given our long experience in the mining business that Nunavut's a unique place. It's got that unique combination that many companies in the industry are looking for, with the ability to do business combined with significant exploration potential. And we're certainly seeing with our results at Amaruq. So the question we need to still answer as a company is how all of these opportunities fit together and we also need to ensure that we move at a piece that is consistent with the quality of each of the opportunity and also the market condition. So we're in that information gathering phase, whether it's doing additional economic assessment work or whether it's doing exploration drilling work or geophysical work, or geochemical work to get the critical technical and exploration information to put us in the position to make some larger decisions in the first half of next year. Particularly at Meadowbank we announced as we said the extension of the Vault pit which extends the mine life to Q3 2018 and we also said in the press release that reduces the potential production doubts that we have with the satellite deposit at Amaruq by a year. At Amaruq our drill holes have extended the Whale Tail deposit at depth, the deposit’s been traced now to a depth of 568 meters, strike length is still 1.2km. That part of the Amaruq deposit Whale Tail remains open in all directions. We have picked up additional mineralization outside of the Whale Tail deposit area to the southwest at Mammoth and to the northeast at IBR and this may suggest we have a larger mineralized zone at Whale Tail or it may suggest we have additional satellite zones so we still need to do some work there. We will continue to do and are continuing to do not only the phase two drill program at 50,000 meters but also we're doing prospecting, we're doing geochemical sampling of soil, till and rock sampling. We're seeing some interesting results here which seem to correspond with the geophysical work and we're also continuing with geophysical work in the area. So we expect to have an updated resource out in the next few weeks and we expect to have for the very early preliminary design in economic analysis by early next year. So this type of work is important in not just making a decision on capital allocation for Amaruq but also making decisions on capital allocation in the wider Nunavut platform and within the entire company. Meliadine, as we said, we continue to move that property forward at a very measured pace, we signed the impact of benefits agreement with the Kivalliq Inuit Association in July. This follows the receipt earlier this year of the project certificate that was issued from the Federal Government. We continue to work on optimizing the economic study by incorporating a portion of the large gold resource into the mine plan as we also prepare the project site to be in a position early next year to decide on the timeline and pace for the development of Meliadine, but we'll do that as we said context of our opportunities not just in Nunavut but also in other parts of the business. In Finland we've got record processing, a throughput of the plant, the focus is really in Finland and taking advantage of not only the higher throughput capacity but also with some of the recent drilling that may suggest we have a parallel zone very close to the main zone and the recent drill hole shows that that zone maybe quite close to undergone infrastructure which could be very important in terms of the timing of introducing a potential parallel loans into the mine plant. So at Finland the focus is always been -- it's is in a big deposits. It is a big deposit. How do we startup optimize the throughput rate to take advantage of not only the expanded plan but also the size of that deposits hopefully shorten life. So, a big part of that story will also be exploration. That program expands as we move through the balance of the second half of this year. We're moving in a large big drill that will be drilling from underground, focus largely on the new parallel zone. In Mexico, we've got good production goal, excellent cost performance for second consecutive quarter of record productions with cash costs below 400. The business continues to generate very strong net free cash flow. The Pinos Altos shaft is on schedule and on budget. We continue to look at the center on the potential satellites on, we expect to eventually add this to the mine plan. We've gone through half of our expected drilling here so we continue to move that forward. At India, we continue to get good performance. One of the things on the India is very early on we have identified the potential for the sulphides be brought into the mine plan, but we kept a very conservative approach with respect to the sulphides, we didn’t really in cooperate that into any for the official mine plan. But it's apparent now based on our experience at the sight and in our mining experience there and some work we've been doing on metallurgy that we can likely bring some of those sulphides into reserves and ultimately into mine plan. So we continue to work on that, so that’s gives us some upside at The India. At Barqueno the exploration program continues, we’re got an active drill program there. We got nine drills, we’re getting good results and we expect to have an initial resource on Barqueno before in end of the year. So I'd like to sort of close it up there and open it up for questions but I just wanted to mention that we'll be out and around over the next several weeks meeting with number of our shareholders and investors and we’re hosting three sites over the next few weeks both to Amaruq this month and in September to Malartic, LaRonde, and Goldex, and also to Barqueno and so we hope to see you out at those trip or also to see you on those investor trip that we’ve got planned over the next few week. So we're actually working hard in August, so we hope you are in town and are available to see us as we get around. So operator I'd like to open it up for questions.
Operator: Thank you. [Operator Instructions]. We will now take the first question from Andrew Quail. Please go ahead.
Andrew Quail: Yes, morning, Sean and team. Congratulations on a strong quarter. Pretty easy question. Just looking at Kittila, the grade obviously dropped off a bit there versus I suppose history. Do you see that coming back in the second half of 2015 and going forward? Because, I mean, your throughput obviously, as you've mentioned, is you're going up there, and your increased capacity. Is grade going to come back?
Sean Boyd: Yeah. We'll finding reserved rate for the rest of the year. I think we had one month where grade was lower because consequence of the longer shutdown in April where we had to modify the mining sequence and bring him to lower grade scopes. We’re basically packed on sequences as we speak in back on tonnage so I think looking for great average grade for rest of the year.
Andrew Quail: Thanks a lot.
Operator: We'll now take the following question from Patrick Chidley. Please go ahead.
Patrick Chidley: Yes, morning, Sean and everybody. Just a question on the follow-up on Nunavut. You did mention I think last quarter some progress that you were making in terms of thinking about power infrastructure for both Meliadine and the regional sort of plan. Could you update us on where you are on that and if you've made any sort of breakthroughs?
Sean Boyd: No, breakthrough, it’s still early. There is a number of things that we’re focused on, the energy side. One is liquid natural gas, the other is small turbines, hydropower. So those things are more longer-term and we have a recently started innovation group here in the company and there focus with our technical service and business strategy group are working at those issues, but I think that’s an important question because long-term places like the Canadian north will be place of increased activity as far as resources extraction. So our focus has been more on, is there a breakthrough either on the energy side or logistics and transportation. And if we said a multi-decade approach which we do in our business and we continue to allocate resources to looking at those key areas that we have, continue to dialogue with the levels of governments, both with visits to Ottawa and to Nunavut to talk to government official about what are particular need are given our asset base and platform that we have there. So, no breakthroughs, but we are continuing to do a lot of work.
Patrick Chidley: Okay. Thanks, Sean. And just a quick follow-up, if I may, just on Amaruq and the Mammoth Lake drill results. Can you speak to how much drilling's going on at Mammoth Lake, and what these initial drill results mean? I mean, does it look a lot like the stuff at Whale Tail?
Dave Smith: Yes. During the spring program, we moved the rigs on the western part of the trench, and what you saw in the press release, we hit on two sector, Mammoth I and Mammoth II. On the Mammoth II, we have only three holes drilled on that one, and Mammoth I probably 12 to 15 holes. And historically, we cannot comment about that as a deposit, the size, the grade. And what we are doing right now is we just finished the conversion program on Whale Tail, and we start to step out to the West and fill the gap between what we named the first Mammoth I and Whale Tail. This is the program from now. And we have a good indication that we can probably connect the Mammoth I and Whale Tail, but a better question would be what kind of grade we can get there, and how big it will be. We don't have that answer yet.
Patrick Chidley: That is showed on Slide 15 right.
Dave Smith: Yes exactly.
Patrick Chidley: And Mammoth II is just waiting about one drill result there is it?
Dave Smith: Is the other one is on the left side of the map that it shows that saturates at 13.3 gram over [indiscernible].
Operator: [Operator Instructions] We'll now take the next question from David Haughton. Please go ahead.
David Haughton: Got a question on Goldex, and just looking at your page 12 of the presentation, can see where the Deep 1 is with the Dx zone, or the Deep Zone. Can you just walk us through the kind of mining method that you've got, and how that might interplay, if at all, with the GEZ above it, and whether there's scope also for Deep 2?
Dave Smith: Well, basically we're mining long haul stops at 50 meter levels, and using [indiscernible]. We've been able to produce in that around 6,500 tons per day in the last few quarters at the cost that we prescribed. And I think the unit rates that we're using on the satellite zones, on the M&E zones, are basically -- are easily replicated at depth in the Deep Zone. So, the only thing we're going to do differently in the Deep Zone is basically add an automated conveyor to facilitate trucking up the main crushing and hoisting level. So, it's just a continuity on the life-of-mine basis of the current operation.
David Haughton: Right. And the 6,000 tons a day, is that just to give you some wriggle room because you've been able to mine at a higher level? You'd mentioned 6,500 tons a day. Is that a possibility?
Dave Smith: Budget wise we were budgeted for 6,000 tons per day. The team up there has been able to better that performance. And over the coming years, as we develop the deep zone, it is within our plans to continue looking at how we can optimize that daily throughput and tonnage through the plant. Also we have the flexibility in the plant to process more tons, and this Akasaba project is a satellite pit nearby that we plan to integrate, as well, and try to maximize all the install capacity that’s tried to keep low-cost profile, moving forward.
David Haughton: Okay switching over to Meadowbank now. The addition of [indiscernible] and the CapEx there extends the life and I guess the goal here is to reduce any high aides that might exist between completions of Meadowbank in the startup of Amaruq. Is that right you have scope also to extend life beyond Vault?
Dave Smith: I think at this stage we looked at the recent success that of Amaruq, I think we're trying to focus on getting more flexibility moving forward in the north and maintaining our infrastructure in place and our people in place. And basically we reviewed -- Vault reserve have been in and out in the plan depending on gold prices and FX assumptions. And I think there is latest FX rate has been up Vault and now we’ve been in a position to review any rebound the line with Vault push back. And at this stage when the positions to maintain similar any of these on the [indiscernible] mines plan and gain a year to better prepared for eventuality with what that looks down the road. So it's more flexibility of the pit.
David Haughton: And just looking at page 16 of the presentation with the conceptual kind of open pit, the drilling results suggests greater and better hits at depth. Do you think that's enough to either start thinking about a deeper pit, or would you be thinking about an underground in addition to the open pit?
Dave Smith: I think I can let the geologist talk after that, but I think at this stage we're more focused on a satellite pit for the early portion. If the pit at Whale Tail extends towards the West, certainly we'll be able to maximize tonnage for a few years in that area, and then we can evaluate as we continue the drilling program how the underground potential pans out.
Sean Boyd: I think one of the things from the underground perspective is that the earlier interpretation as we felt suggested that the eastern part of Whale Tail was closed off. I think the latest drill holes at depth below 500 meters which were on the eastern side of Whale Tail have changed the geologist's interpretation, and so it's wide open again to the east. So ultimately I think that that tells us is that there's probably a ramp here at some point in the future of Amaruq. And that's interesting because you know our challenge’s always at Meadowbank as we could not find anything meaningful in terms of ounces below the pit even though that was our hope. Here very early on we're getting very good thicknesses at very good grade at depths which suggest that this one has longevity and Meadowbank didn't. So those are some of the things that we need to get more information on because they have implications not just for how we think about Amaruq and its connection with Meadowbank but also how we think about Amaruq and its connection to the overall Nunavut strategy and approach to allocating capital which involve Meliadine. So there’s a lot of moving parts here and that's why we're trying to use the time we have this year to gather that information, do that assessment across a lot of disciplines including the technical aspects, the permitting aspects and the exploration upside potential.
David Haughton: Great, thank you for the update.
Operator: We'll now take the following question from Mike Parkin, please go ahead.
Mike Parkin: Hi, guys. I was just wondering, it sounds like you've got a number of projects advancing nicely. Is there any sense in terms of the maximum number of development projects you'd entertain at a given time?
Sean Boyd: I think if you looked at a number of these projects they're largely at or near existing operation which can be nicely tucked in to the existing team. So as far as people capacity, it's very manageable, the constraints in a tough gold price environment is obviously capital, so we'll have to make some difficult choices in terms of the pace at which we decide to move some of these projects forward. So that's more constraint than the technical ability or the people that we have to put on these projects. That's largely because a lot of that skill is in place at a number of these opportunities.
Mike Parkin: Okay. And just a follow-up on the Goldex Deep, this estimated capital for development, does that include any increase for the tailings facility?
Sean Boyd: No, we don't need to spend anything on increasing the tailings facility.
Mike Parkin: Okay, that's it from me, thanks guys.
Operator: We will now take the following question from Steven Walker, please go ahead.
Steven Walker: Just wanted to follow up on Mike's question, Sean, with respect to capital allocation. You suggest that you're going to incrementally spend on a number of projects. If you had to prioritize which projects you'd put the first dollar of capital to work in, second dollar, et cetera, et cetera, could you maybe give us your thoughts on how you'd prioritize the various projects, whether it's looking at Goldex Deep versus the -- obviously opportunities at Amaruq and El Barqueno, and et cetera? If you look at those projects that you've highlighted as opportunities, how would you prioritize them as far as capital allocation?
Sean Boyd: We already did some of that Steve, it's a good question, with Goldex, so that was a clear winner, solid rate of return, capitalizes on some excellent work that was done and good thinking that was done when we were actually criticized. I remember being out in the road, what you're spending $90 million to restart Goldex, are you guys nuts, what the heck are you doing? At the end of the day I have to take, and the board has to take the lead from the operating and technical people and the skills and experience they bring to the table. So that one was an easy one, right in our backyard, existing deposits, near existing infrastructure that still had some excellent exploration opportunities. Where it’s less clear right now for us is Nunavut, we believe in the long term benefits of that as a place that we can add a lot of value over time, we still need information on how we fit those pieces together and how we allocate capital. Certainly Amaruq's very exciting, lots of good drilling, it is early and it is exploration and I'm sure there's going to be a lot of pluses and minuses, we're on a roll now, but we're also on a roll in Finland, I'm quite interested in that one, because that one's been which was -- which had been a bit of a head scratcher because it's large and we struggled with how do we get the throughput up and the throughput you know wasn't really a question of the plant as we’d managed that side, it was more mining rate, now if we have a zone that's extensive and parallel to main zone and now appearing near exhibiting infrastructure then maybe we can accelerate something there. And I think why I'm excited about that when although it’s early is that, we already said we're taking Kittala from the 140 an ounce -- 140,000 an ounce per year range up to a 190,000 an ounce to 200,000 an ounce. Now does this additional potential source of ore give us more headwind above that? So those are the types of the things which will take priority because generally those will be high rate and return of low risks with capacity from a people point of view to do. So as we've said a few times over the last while or even in the presentation we're still in information gathering phase so laid our thinking out to the board to make some decisions going forward. But I would we used the word pace. We're actually pretty good at pace. Pace was all about, LaRonde all about pace. It was never a question in the early days whether that was going to get built, how could we move that forward which we did, as Goldex is a great example. Of being patient, we waited 37 years before the conditions were right, whether with the market or our technical view and analysis. If we had to park some things, we’d park some things and I would say one more point, Agnico's still here after 58 years because we've done a lot of good technical work and good thinking we’ve invested in our peoples ideas, whether its exploration or project build. But overwriting all that is we managed the financial risk extremely well and we'll continue to do that.
Stephen Walker: Maybe, Sean, as a follow-up question, when you went to the Board for the go-ahead to increase capital and move projects forward, what did you represent as what you thought was a reasonable gold price environment, or assumption for that to be approved, and the plan that you put forward? And second to that, and more importantly, with the numbers in terms of being high quality, high return projects, where you can put capital to work, are you prepared to issue equity or further debt -- take on further debt to finance any of these projects, or is the goal to fund these other free cash flow? And if you could kind of -- if you could answer those, I'd be curious to hear your comments.
Sean Boyd: Yeah. I think we’re using stock roll prices and that’s in local currency terms. I think one of the thing that -- as we sit here we roll it back to January of 2010. The U.S. dollar gold price was essentially where it is today but if you look at the gold price in Canadian dollar terms it's up 24%, and if you look to Euro-dollar terms it's up 24%, if you look at the gold price in Mexican peso terms it's up lot more than 24%. So given the location of our assets as we said we’ve got sort of that built in edge, so the lump deposits works not only because of a desire to minimize cost and keep a work force in place as we get better understanding of Amaruq, but also because we're taking advantage of the lower Canadian dollar. And so we're using stock with respect to that analysis as we presented it to the board and those were incremental investments that we’ll be taking forward in the second half out of our business and out of net free cash flow. If that was an easy decision to make for the board given that few of those projects extended mine lives, but some of that expenditure was to gather additional information on bigger picture particularly in Nunavut platform. As far as taking on additional data or issuing equity, we haven't made a decision on how to finance as we go forward. That will be determined on the quality of the opportunity and how do we see the ultimate fit. Now do we have debt capacity, we have some, but again it comes down to managing financial risk and we don’t control the gold prices, we control what we spend and how we spend and that’s where the focus is.
Stephen Walker: Great. Thank you Sean.
Operator: [Operator Instructions] We will now take the following question from Don Maclean. Please go ahead.
Don Maclean: Well, thanks for the call, guys. Great quarter. Sean, maybe you could just give us a bit of your thoughts about the timing of Amaruq, and it appears there's a bit of a delicate balance here between the timing of your exploration, being able to bring the project on, trying to keep the workforce of Meadowbank in place. What are some of the critical path items? How is it going on the pace of the permitting? And how delicate is that balance, in your view, now that you've bought yourself the extra year with Vault?
Sean Boyd: While it's all permit, timeline is all permit. More Amaruq in particular and so all we’ve done is assumed a timeline that matches Meliadine essentially. But this is difference that Meliadine in our view because we're not asking to build a plant. So it should be the little bit more forward, but it does follow the same process. So we’ve just sort of use the Meliadine timelines, but we have sort of made the case to the appropriate authorities that we think there really should be no reason that there is a production GAAP because it won't be driven by our ability to get work done. As we tend to work within the time as we see it, but it's really a function of the authorities having the resources available to review our submission and that’s what really drove the Meliadine timeline. But we can't see that we have made some good progress on the exploration front, what that means for us so on the technical side, to get the permitting clock ticking we have to make a submission. So we tell them what we would like to build. We're not there yet, but we will be there as we move through the end of this year and because we will have an initial resource and that initial resource will likely put a pit design around it, we will likely go to the authorities with the plan to permit and open pit operation. And that type of potential from a permitting perspective to be ready sometime in 2019. Our focus will be trying to do that earlier from a permitting perspective, but again there no guarantee. But we've done this before, we’ve got probably the best team -- not probably, we do have the best team in the business in terms of getting permit in that region, Larry Connell who does a lot of our legwork worked from Miramar and so he’s done it several times up there. And going back to one of the points I mentioned earlier about a place to do business, it is an excellent place to do business because there is an understanding of gold mining and contribution it could make. So from that aspect there aren’t issues about people being anti-mining, anti-exploration or development. Just a matter of going through the process of obtaining those permits.
Don Maclean: Great, okay. And that sounds like that's a capacity constraint once you've scoped it.
Sean Boyd: That right and obviously the initial vision that we get from the work that we'll have done up to the end of this year will like change because there is still a number of target. And not only they are drilling target, they're developing more target as we speak, given the geo-chemical work and the geo-physical work. So we have 115,000 hectors around Amaruq. So there is lot of work that’s going to be done over a lot of years and so we fell we'll be there lot of years. So, that's why pace is less important, what's more important is what we were building there and how we're building it. And we're less focused on when it starts or when they start and more about how we can manage both from a technical point of view and financial point of view. That’s the way we’ve run the business for a decade and we'll keep doing it.
Operator: [Operator Instructions] We will now take the follow on question from Tanya. Please go ahead.
Unidentified Analyst: Maybe, Sean, can you just talk a little bit about how much capacity you would be comfortable in taking on, on your credit facility, and sort of what minimum cash balance you would like to have on the balance sheet at current prices.
Sean Boyd: Our cash balance is little over 180 million. We could be comfortable at 100 million. We've had the revolver up couple of 100 million for that where we are now. We could certainly take that up if we wanted to. We're looking at extending it another year to five years. It's a relatively cheap form to financing the interest rates almost 1.9% -- between 1.8% and 1.9%. But we have that flexibility if we decide to use it, but we have been setting that down, that’s just based on generating net free cash flow.
Unidentified Analyst: And what about in terms of refinancing the -- I think you have $600 million senior notes that are due in 2017.
Sean Boyd: No, we have 115 million that will do in 2017. So we don’t need to refinance those notes. The biggest piece of repayment there is 2020, it’s over 300 million so over comfortable with our repayment schedule.
Unidentified Analyst: Okay. And then, maybe just for the CapEx, the development over the next two years, for Meadowbank, we only have what you're putting in this year, and the rest of the book, everything else is sustaining. Is that correct?
Sean Boyd: Yes.
Unidentified Analyst: And so, then it's really the payment for the Goldex 1 Deep?
Dave Smith: Yes there is a little bit work as well in Mexico and we finish off some cost there. Finland, where we continue to work on the ramps and developing Rimpi, so there’s some things there as well. But there is no major project that has been approved.
Operator: We’ll now take the following question from John Bridge. Please go ahead.
John Bridge: Just a bit of accounting, really. I see the Mexican peso has been quite weak recently. Just wondered if there's any hedging there, or are you going to fully benefit from that weaker peso quickly? And what percentage of your costs in Mexico are locally driven?
Dave Smith: Our Mexican Peso we’re about 25% hedged and we’re comfortable with that level. It's been weak with the CAD and the Euro as well.
Sean Boyd: I think on the Canadian dollar side we’re about 40% hedged or so going forward. In terms of Euro, we haven't done anything on the Euro. As far as the percentage of costs in Canada over 90% and Finland it would be up of 80% or so and Mexico it's 15% or so in terms of local currency.
John Bridge: Okay, that's helpful, thanks. What level did you assume in your forecasting for this year, or have you got that handy?
Sean Boyd: 120 on the Canadian dollar. Dave do have that for Euros.
Dave Smith: The actual budget rate was 1.35 and the Mexican peso was 12.75, so those have changed dramatically versus the budget.
Sean Boyd: The guidance that was I think 1.20 Australian and 1.08 on the Euro.
Dave Smith: No, 1.15 on the Euro, so there is some headroom on the cost side given where the currencies are right now relative to guidance.
John Bridge: So there is some good news out of the strong U.S. dollar. Well done guys, congratulations.
Sean Boyd: Thank you.
Operator: [Operator Instructions], okay there are no further questions, please continue.
Sean Boyd: Thank you operator and thanks for tuning in to the call and as we said we'll be out in probably 10 cities in the next couple of weeks and with the mine tours, so we’d love to see a lot of you as we make our way around and enjoy the rest of the summer. Thanks again.
Operator: Ladies and gentlemen this concludes the conference call for today, we thank you for your participation, you may now disconnect your line and have a great day.